Operator: Hello and welcome to the Textainer Group Holdings Limited First Quarter 2010 Earnings Call. There will be an opportunity for you to ask questions at the end of today's presentation. (Operator Instructions). For your information, this conference call is being recorded. I would now like to turn the conference over to Phil Brewer, Executive Vice President. Please go ahead.
Phil Brewer: Thank you, and welcome to our first quarter 2010 earnings conference call. Joining me on this morning's call are John Maccarone, President and Chief Executive Officer, Ernie Furtado, Senior Vice President and Chief Financial Officer, and Robert Pederson, Executive Vice President. Before I turn the call over to John and Ernie, I would like to point out that this conference call contains forward-looking statements within the meaning of U.S. securities laws. These statements involve risks and uncertainties, are only predictions, and may differ materially from actual future results, events or results. It is possible that the Company's future financial performance may differ from expectations due to a variety of factors. Any forward-looking statements made during this call are based on certain current assumptions and analysis made by the Company in light of its experience and current perception of historical trends, conditions, expected future developments, and other factors it currently believes are appropriate. Any such statements are not a guarantee of future performance and actual results or developments may differ from those projected. Finally, the Company's views, estimates, plans, and outlook as described within this call may change subsequent to this discussion. The Company is under no obligation to modify or update any or all of the statements that are made herein despite any subsequent changes the Company may make in its views, estimates, plans or outlook for the future. For a discussion of such risks and uncertainties, see the Risk Factors included in the Company's quarterly reports on Form 20-F for the year ended December 31st, 2009 filed with the Securities and Exchange Commission on March 19th, March 17th, 2009. I would also like to point out that during this call we will discuss non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with Generally Accepted Accounting Principles. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures will be provided either on this conference call or can be found in the Company's May 5th, 2010 press release. I would now like to turn the call over to John. 
John Maccarone: Thank you. I'd like to turn your attention to slide number three, and welcome to our first quarter 2010 earnings conference call. I'll begin today's call by reviewing Textainer's first quarter 2010 highlights. The current marketing environment and our strategic focus, and then turn the call over to Ernie to discuss our financials and quarterly dividend and finally Phil will give summary of our recent transactions as well as information on the container sale market, and we'll then open it up for questions. Turning to slide 4, after capitalizing on several accretive market transactions last year combined with improving industry fundamentals, Textainer achieved solid results in the first quarter of 2010. Specifically included in our highlights from the first quarter, we generated net income attributable common shareholders of $24.2 million or $0.50 per diluted common share for the first quarter. Recorded net income attributable to common shareholders excluding unrealized losses or gains on interest rates loss net of $25.5 million or $0.52 per common diluted share. We declared first quarter dividend of $0.24 per share representing an increase of 4.3% from our previous quarter re pay up, and the fourth increase declared by Textainer's are IPO in October of 2007. During this time, Textainer's has declared cumulative of dividends of $2.48 per common share since our IPO in October of '07. Increased fleet utilization to an average of 90.1% for the first quarter versus an average of 86.4% for the fourth quarter of last year. Current utilization as of the 30th of April was 94.9% which is an improvement of 6.1% from the weekend in December 31st, 2009. And finally we strengthened our future growth prospects by ordering more than 70,000 TEU of new containers for delivery in the first half of 2010 representing over $150 million of capital expenditures. Next week, we're finalizing our high end production which looks to be about 20,000 TEU. So through July, we will have close to 90,000 TEU of new production being delivered. Turning to slide five, some comments about the market outlook. Market conditions continue to improve following a decline in container trade of nearly 10% in 2009. [Clargens], the consultancy has recently revised this projected increase in container volumes for 2010 from a gain of 5.5% to the gain of 8.8% while Alphaliner, another consultancy is even more optimistic with expected volume growth in excess of 10% for the current year as demand for Asian exports picks up. In addition to this positive forecast, Lloyd' list has reported that idle vessel capacity at 7.5% of the fleet dropped below 9% for the first time since February of 2009. Additionally, the use of super slow steaming has becoming increasingly common on longer trade routes, which requires 5% to 7% more containers carrying the same amount of cargo. And while container manufacturers have resumed production, they are only operating more shift as they continue to experience difficulties in restoring capacity after losing the majority of their skilled laborers during the long shutdown period from the end of 2009 that ended in 2009. Consequently, we estimated the total new production orders through April were only about 370,000 TEU of which leasing companies accounted for approximately 65%. So because of higher container volumes, Super Slow Steaming and lower new container production, we've experienced an increase in utilization. In fact, here is a simple way to look at the current fundamentals in container supply and demand. At the end of the third quarter of 2008, Textainer has an all time high fleet utilization of 97.5%. Cargo volumes declined about 10% in 2009 and are currently expected to increase by up to 10% in 2010. That will put cargo volumes at close to 2008 level when as I mentioned we have 97.5% utilization. However between the end of 2008 and the end of 2010 the world's container fleet may decline by 4% to 5% due to retirement of older containers, and slow steaming is expected to add 5% to 7% to the number of containers needed to carry the same amount of cargo. As a result of these factors, we believe there is a shortage of containers this year. Now to slide number six; we will define our overview of our strategic focus. Given the improving industry fundamentals, our fleet utilization continues to improve. During the first quarter, our utilization averaged 90.1% and currently stands at 94.9%. We expect further increases in our utilization in the second quarter based on recent bookings. We've also successfully improved rates and we deliver schedules in certain cases. As a reminder every 1% improvement in Textainer's utilization equals approximately $4.4 million in annual pretax income and every $.01 improvement in lease rates equates to approximately $3.3 million in annual pretax income. While we maintain our focus on securing attractive long-term contracts to our on lease fleet we've ordered a 270,000 TEU production including 1900 TEU refrigerated containers for delivery through June. Notably of the recent orders 66,000 TEU of the 70,000 TEU have already been committed to long-term lease. We currently had a phase reserved for more than 100,000 TEU for production in the second half of this year to further enhance our growth prospects. If the market remains strong, we believe that 2010 could become Textainer's largest new production in our 30 year history. With over $280 million of available liquidity of the loan debt equity ratio of 1.1:1, Textainer's financial position remains strong as we seek to understand our secured debt facility which Phil will discuss later on in the call. Going forward, we intend to pursue additional opportunities related to accretive acquisitions, purchase-leasebacks, trading deals and the purchase of containers we currently manage as we've consistently done in the past. In summary, we're very pleased with our first quarter results, the execution of our growth strategy and ongoing improvement in overall market conditions goes well for Textainer's future performance. I'll now turn the call over to Ernie.
Ernest Furtado: Thank you. Turning to slide seven; I'd like to take this opportunity to review our financial performance for the first quarter ended March 31st, 2010. The fleet size of the another quarter consisted of 2.2 million TEU of which 46% were owned, and the remainder were managed sub-leased or on financed lease. Utilization for the total fleet for the first quarter was 90.1%. Revenues were $69.2 million as compared to $59.6 million for the prior year period. All revenue areas, lease rental income, management fees, trading container sale proceeds, gain on sale of containers and gains on sales type leases increased in 2010, compared to 2009. Net income excluding on realized losses on interest rate swaps, net on non-controlling interest was $25.5 million, which represents a 25% increase over the $19.8 million in the prior year quarter. We believe net income excluding unrealized gains or losses on interest rate swaps net is a useful performance measure. These gains are losses, that are non-cash, non-operating items, and Textainer intends to hold this interest rate swap until maturity. Over the life of an interest rate swap held to maturity, the unrealized gains or losses will net to zero. Lease rental income increased by $0.5 million or 1%, compared to the prior quarter primarily due to 16.9% increase in fleet size, partially offset by 0.6 percentage points decrease in utilization and a 3% decrease in rental rates. Management fee revenue increased by $.6 million or 10%. Management fees and sales commissions from the Amplicon and Capital Intermodal fleets which had not been added as of the first quarter of 2009 were responsible for $1.1 million of the increase, offset by lower management fees due to lower fleet performance and the decrease in the size of the other managed fleets. Net gained on trading containers sold increased by $0.6 million or 216% primarily due to 138% increase in the number of units sold. Gain from sales of containers increased by $2.5 million or 93% primarily due to 76% increase in the number of units sold. Gains on sales-type leases which represented the difference between the fair market value of containers and their book value at the [extension] of the leases increased by $4.5 million due to the addition of 9,898 containers under sales-type leases, compared to 903 containers in the prior year period. Direct container expense increased by $1.6 million or 20% primarily due to a higher storage expense. Depreciation expense increased by $1.7 million or 15%, due to an increase in the size of the owned container fleets. Long-term incentive compensation expense increased by $1.2 million or 147% due to forfeiture rate adjustments and additional share options and restricted share units granted in November 2009. Bad debt expense decreased from an expense of $0.7 million to recovery of $0.3 million due to collections on accounts that had previously been included in the allowance for doubtful accounts. Interest expense decreased by $0.6 million or 20%, primarily due to a decrease in average interest rates of $0.3 percentage points and a decrease in average debt balance, which were $27 million lower. Realized losses on interest rate swaps decreased by $1.2 million or 30% primarily due to a decrease in swap notional amount between the periods. Income tax expense decreased by $1.5 million or 72% due to the effective completion of an IRS examination, the subsequent reduction of unrecognized tax benefits. EBITDA was $45.7 billion, $3.5 million higher than the prior year quarter. Moving to slide eight, you will see that we've maintained a strong balance sheet during the first quarter of 2010 of note as of March 31st; our cash position was $56.1 million. Total assets were $1.4 billion, and our leverage remains an attractive ratio of 1.1:1. Turning to slide nine, based on our strong financial results, significant contract leverage and industry outlook, Textainer's dividend for the first quarter will increase by $0.01 per share to $0.24 per share. This represents 45% of net income excluding unrealized losses on interest rate swaps that are non-controlling interest rate for the three months ended March 31st, 2010. Dividends have averaged 50% of net income excluding unrealized gains or losses since the IPO enabling the Company to maintain capital for growth. We'd pay dividends for 21 consecutive years, and it's an important part of the total return that Textainer provides towards shareholders. Textainer' Board of Directors considers dividend on a quarterly basis. Historically, Textainer has paid about 50% of net income excluding unrealized gains or losses on interest rate swaps in dividend, but the Board takes and impresses you every quarter and sets the dividend subject cash needs for opportunities that maybe available to us. We are pleased with our first quarter results, and now I'll turn the call over to Phil. 
Phil Brewer: Thanks Ernie. I'll talk about our container sales and trading for the first quarter, but first I'd like to provide an update on the refinancing of Textainer Marine Container Limited $475 million warehouse facility. This facility must be extended by July 2nd or it turns out over 10 years. Earlier to this year, we approached both existing and new banks with the credit request to refinance the facility for two more years. The proposed terms were essentially as the same existing term with the exception of an increase in pricing, which we believe to be competitive with current marketing condition. We've received positive responses from many banks thus far we expect to have in place to refinancing at attractive terms prior to the rollover days. Regarding container sales, following a very productive year on this front, we are off to a strong start. Last year for the first time in Textainer's history, we sold more than 100,000 containers, 25% more than in 2008. Total sales at this year are running at a similar rate. However, based on the demand for lease containers as discussed by John, we do not expect this run rate to continue. As with utilization increases, the number of containers been disposed not only by us, but also by shipping lines is decreasing. We are re-leasing containers that would have been put to disposal one year ago, and shipping lines are continuing to use their older containers resulting in a limited supply of trading containers. They also continue to use the containers that we've acquired under purchase-leasebacks meaning those containers are also not been redelivered for sale. The bottom line is that now withstanding the strong start of the year, we expect to sell fewer in fleet trading and purchase-leaseback containers in 2010, then in 2009 owing to increased demand. Used Container prices have increased by 10% to 15% since the beginning of the year, and by more than 20% than sales prices reached their lowest points in July 2009. The strongest demand and higher prices continues to be sound in Asia. This increase in prices occurred at the same time the sales volumes were also increasing. Additionally, prices are expected to continue to trend upward due to the strong demand for used containers, the limited supply and the entries in new container prices. That includes our opening remarks. I'll now like to open the call for questions. 
Operator: 
 : Unidentified Analyst This is Rob (inaudible) on for Justin. Over the past several months, as the global economy is improved. Textainer has seen utilization improvement. Could you guys give us a sense how should we think about the typical seasonality and utilization improvement in a potential economic recovery?
John Maccarone:
.: I was reading an article yesterday in the Journal of Commerce and they're already forecasting a very significant for the remainder of this year as well as in 2011. Obviously, a lot of caveats in the world economy is subject to change but right now it looks like clear sailing for container demand for the foreseeable future. Unidentified Analyst Thanks, that’s helpful color. And I guess piggy backing off that strong demand improvement that you guys have seen, in the press release you had indicated you've actually been able to go back and get some pricing improvement on existing leases. Could you give us a sense of what sort of lease rate improvement you guys were able to realize in the quarter and what your expectations are looking out for the rest of the year?
John Maccarone: Well we don’t have the exact numbers by quarter but certainly when it comes to long term lease extensions, we are pushing for rate increases or increased levels to differentiate depending on what the original rate is and we have a pretty clear strategy of what we want to carry out in that regard. The biggest increase we have seen in pricing power is actually on the marginal container lease outs. Obviously if you pick up a container right now, because of the location you're going to pay a substantially higher rate than you did a year ago if you needed a container in the same location and that’s actually where most of the rental rate increase will come from. So it goes without saying that the new container lease out ways are substantially up as both new production prices and cost of funding has increased. Unidentified Analyst All right, thanks. That’s again good color. You had alluded to the expectation for the resale to kind to trend down. Are there still lot of opportunities out there on the purchase lease back transactions or on the outright sales as container liners are continuing to restructure their balance sheets?
Phil Brewer: This is Phil. I think we've been somewhat surprised that there hasn’t been more purchase lease back opportunities over the past year. There have been a few. We've bid on some, been successful on some and in others, not. Some we were unable to pursue for credit reasons. But the amount of purchase leasebacks that we've looked at has been smaller than I think we would have expected, given the overall financial environment for our shipping line customers.
Operator: Our next question comes from Bob Napoli from Piper Jaffray. Your question please?
Bob Napoli - Piper Jaffray: Pricing, TAL, on their call gave out a statistic that they said that the pricing for lease rates are currently 50% above the average lease rate that they have in the portfolio and I was hoping you might be able to give, maybe a comparable statistic. Their portfolio is a little bit older. So maybe they have a little lower lease rate on average. But that’s a pretty astounding number.
John Maccarone: It is Bob. I don’t know where they started from to get to that level. I don’t think that we have looked at it that way and one of the things that we've been trying to do and I believe we've done, we've been successful is to concentrate, rather than trying to push the lease rate up as top priority, we have tried to package the containers that we have in Asia with the containers that we have in lower demand locations and we've been able to essentially book out almost the entire fleet without spending money on repositioning which typically as you come out of the downturn, you typically would be sending millions and millions of dollars. Our total repositioning expense for the first four months of the year has been practically nothing. So that’s where we see the immediate benefit. The other thing that we've been concentrating on is improving the return schedule as part of the leasing cycle so that when we do start to see a normalization, these containers by and large will have [depend] on coming back in China and other very strong demand locations. Its not that we're ignoring rate increases. We are being successful. Unfortunately I cant give you the kind of figure that apparently [grind] at TAL but I think we are really pleased that the way we've been able to clean our lower demand locations and improve the overall structure of the leases that’s part of this cyclical upturn.
Bob Napoli - Piper Jaffray: Well, you said that your lease rates, looking at revenue, that the average lease rate was down 3% year-over-year in the first quarter. If you think about what kind of improvement do you think you can get in the overall lease rates, given current market conditions over the next year, maybe that’s another way to try to get a handle on? I’m trying to get a handle on how pricing is going to affect and you gave us very good color on utilization. I’m trying to get down the pricing side.
John Maccarone: Well, again don’t have specific numbers but a lot of these lease activity we had in the beginning of the first quarter were actually originated from deals that we closed in the fourth quarter of '09 where demand was okay but not at all at the same level we've seen in the last two three months. So certainly from the deals that come across the cable here, our rates are substantially higher than what we saw from those transactions that were concluded in the fourth quarter of last year.
Bob Napoli - Piper Jaffray: And then I guess maybe turning to the lease income in the quarter, I would expect you're going to see a pretty big jump in lease income in the second quarter. Lease rental income was down and I think for the industry it was relatively flat to down in the first quarter. Some of that drop off fees and, did you have a hit from drop off fees in the quarter? And I would imagine that the run rate of lease income at the end of March was much higher than the average for the quarter?
John Maccarone: Yeah, I think that’s a fair assumption Bob. This picture is literally changing by the day and when we look at how the second quarter is going to go, we still see a significant improvement in performance versus the first quarter.
Bob Napoli - Piper Jaffray: And then I guess last question, I think I know the answer to the question but your going to have very little incremental increase in operating expenses as lease revenue builds?
John Maccarone: Well the story for us is the thing is the single biggest line item and as utilization improves that storage cost drops down. Right now, as we speak, the containers that have been booked but have not yet been picked up, assuming they all get picked up in the next to four weeks, we would be close to 98% fleet utilization which is really astounding when you think about it. And then storage cost would drop away to a fairly insignificant number.
Operator: (Operator Instructions). Our next question comes from Rich Shane from Jefferies & Company. Your question please?
Rich Shane - Jefferies & Company: Really just one thing. Obviously business has accelerated tremendously and there is a lot of enthusiasm there. It's an incredible dramatic shift and one thing that does occur to me is that the shipping lines, your customers have been through a very hard period and even though business is improving rapidly, you have to be concerned about the overall financial wellbeing of your counterparties. How are you looking at counterparty risk now given improvements for your counter parties but also the fact that the need to repair balance sheets and how are you managing that as containers are going out as quickly as they are right now?
John Maccarone: Well obviously the customers who have not fully recovered, the major customers and some of the smaller ones, we're being very careful about the supply that we have and some of the very significant transactions have been with what I would call the blue chips of the industry. So we are able to spread the risks. We never stop worrying about counterparty risk but I think by and large its being mitigated, specially as freight rate increases -- I was reading an article yesterday where trend specific trade service contracts which represent a very large portion of the freight that its carrying where due we renegotiated effective May 1st, and this particular article was talking about the success that the shipping lines have had. By effectively limiting space they've been able to drive the freight rates up. One thing I saw in that article said that the average freight rates for [porting] those containers from China to Los Angeles, under the new service contracts could be $200,000 or more versus the low point in 2009 of the $1,000 which didn’t even cover costs. So in the Asia-Europe, typically the service contracts are quarterly basis rather than annual and freight rates have been ratcheting up every quarter since the last part of 2009. So for the revenue side, it is looking very good. The only thing that could really derail is if the shipping lines put too much capacity into service too soon to absorb the increase in cargo. So answer to a short quarter, counterparty risk, we're constantly focused on it. But we believe that we're managing it very well.
Phil Brewer: And one just additional point Rick just to remind you, when you do have such strong demand for containers, then the supply being somewhat tight, it also gives us an ability to have discussions with shipping lines along the lines of, if you'd like additional supply, we first need to see improvements in your payment schedules et cetera and say that with at least some ability to have them listen to our request. So again, to reiterate, as John said, it's not something we’ve forgotten. Our credit committee is meeting regularly. We monitor our exposure but certainly the risks appear to be declining.
Rich Shane - Jefferies & Company: One way to just quantify this, you guys I believe have internal credit ratings ranking your counterparties. Is there any metric you can give us, for example on new lease outs, average mix on your credit scale versus where the existing book is. And again I don’t want to dwell too much on this because I realize the rising tide is going to lift everybody pretty nicely but I at least want to think about this in context of how you reposition the portfolio in a very attractive environment?
John Maccarone: Well if your asking do we monitor for example the average Dynamar rating of our fleet and then the average Dynamar rating of new lease outs, we don’t. I think our credit policy has been described in the past. We have credit limits by TEU for a each of our shipping line customers. Should we reach those credit limits and there is a request for additional capacity we'll review the shipping line at that time. We may take an intermediate view on the shipping line based on news that comes to light, subsequent to the previous time we reviewed the line. But we don’t, we don’t monitor the exposure of our fleet by average Dynamar or other rating.
Operator: Thank you. Our next question comes from James Ellman from Seacliff. Your question please?
James Ellman - Seacliff: A couple of quick questions. One would be, in Europe obviously there is some quasi state owned container holders. With the difficulties and with the softness there, would you say that there is increased chance we might see some M&A on your side out of those entities during this year?
John Maccarone: State owned shipping lines?
James Ellman - Seacliff: No the German holders of the containers and sales.
John Maccarone: You mean the German KG firms?
James Ellman - Seacliff: Yes
John Maccarone: Well we manage containers for several of them. We are in very close communication with them and they know that we have a desire to buy containers from the fund as we've done last year. And at the moment none of them are interested in selling containers that we manage. So I think they are seeing the improved performance of the containers that they own. They are seeing, we haven’t talked a lot about new container prices but they are going up quite dramatically. For example a brand new 20 foot container that we would order today is about $2,400 which helps the value of existing containers. So we really haven’t seen any of the people that we manage containers for express an interest in selling those containers.
James Ellman - Seacliff: All right. And I don’t know if you have heard about this yet but there is this company called Algaetech going public and raising capital and they grow Algae for diesel and aviation fuel using containers that are sitting in ports. Have you leased any of your containers to these guys and is there much room for growth there?
John Maccarone: I certainly hope not. I have not heard of that company, I’m sorry to say.
James Ellman - Seacliff: I think they're supposed to go public in the next week or two.
Operator: Our final question comes from Jordan Heimowitz from Philadelphia Financial. Your question please.
Jordan Heimowitz - Philadelphia Financial: First of all, what's the managed fleet number?
John Maccarone: The Managed fleet?
Phil Brewer: The percentage of the total fleet? It's about 54%.
John Maccarone: 54% of the fleet is managed of our 2.2 million TEU fleet.
Jordan Heimowitz - Philadelphia Financial: Give us the actual dollar number.
John Maccarone: We don’t maintain a book value for the containers we manage. They are maintained by the owners of the containers.
Jordan Heimowitz - Philadelphia Financial: The dollar unit number of managed?
John Maccarone: Well, what do you mean by dollar unit number?
Jordan Heimowitz - Philadelphia Financial: I’m sorry. It was it was a million to 11 last quarter as opposed to owned that is part of the total TEU in the fleet?
John Maccarone: Well we have 2.2 million TEU. So 56% of that would be, about 1.2 million TEU would be managed. It's not a dollar figure. It’s a unit figure.
Jordan Heimowitz - Philadelphia Financial: That’s exactly what I was looking for. I was hoping you can give the exact number versus an estimate.
John Maccarone: Okay about 1.230 million more or less.
Jordan Heimowitz - Philadelphia Financial: Okay, second question. You had a negative loss provision this quarter that you went into a little bit. How should we be thinking about that line item going forward?
Ernie Furtado: Well I think as John just mentioned, if the shipping lines are able to increase freight rates and their outlook improves, that will help the credit worthiness of all those customers and the reason we had these bad debt benefit this quarter was because we had previously taken on some slow paying customers we were able to reverse because their payment pattern improved. So as more of those situations occur, hopefully we'll have lower bad debt expense going forward.
Jordan Heimowitz - Philadelphia Financial: At least for the next two or three quarters the bad debt expense could be very low at this point.
John Maccarone: Hopefully. There's still one or two customers of the small to medium sized we're quite concerned about. So we have to see how things work out with those customers.
Jordan Heimowitz - Philadelphia Financial: And final question, can you say the number of units sold for the gain of sales containers?
John Maccarone: The number of containers sold year-to-date?
Jordan Heimowitz - Philadelphia Financial: Yes well sort of might that equates to the $5.1 million gain.
John Maccarone: So just for the owned fleet, actually we don’t have that detail right in front of us.
Phil Brewer: As of the end of March, we had sold about 28,000 in fleet containers.
Ernie Furtado: That was just the old piece of that.
John Maccarone: I’m sorry. As Ernie pointed out, that’s old fleet, owned and managed. I don’t have a breakdown between owned and managed. That’s for both uses.
Ernie Furtado: Yeah, we can maybe, after the call maybe we'll get that number and call you back.
Phil Brewer: We can get back to you on that one.
Operator: We actually have a follow question from Bob from Piper Jaffray. Your question please.
Bob Napoli - Piper Jaffray: Just a couple of numbers questions. Your tax rate was 2% in the quarter. Should we still expect somewhere in the mid single digit 6% or so for the year?
Ernie Furtado: It was lower than normal this quarter because we're getting close to the end of an IRS exam and as a result we're able to re measure some of our uncertain tax positions and we had a $1.5 million reduction in income tax expense this quarter as a result. So think going forward, it should be closer to the historical rate of somewhere between 4% and 6%.
Bob Napoli - Piper Jaffray: Okay and the gain on sales type leases this quarter, that’s unusual. I haven’t seen that number for $4 million. What caused that and is that something that we should not expect going forward?
Ernie Furtado: When you have a capital lease that’s caused by the sales type lease, when you enter into the lease you record the difference between the fair market value of the containers and the book value at the time you enter in the lease. We did have some of those last year but it was reported in the gain on sale number but because it was a larger number this year, were reporting as a separate line item. They often result from the type of leases that we refer to as life cycle leasers or the leases out until the end of its useful life. It doesn’t apply to all life type leases but it does apply to some. So going forward, it will depend on the number of containers you put on these life cycle leases and how they're accounted for.
Operator: I'd like to turn the program back to you for any further remarks.
John Maccarone: Well, thank you all for your participation. I think if there are no further questions, we will end the call and move forward. Thank you.
Operator: Thank you ladies and gentlemen for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.